Geoffrey Williams, Jr: Good afternoon, everyone, and thank you for joining Gevo’s Third Quarter 2017 Earnings Conference Call. I would like to start today by introducing the participants from the company. With us today is Pat Gruber, Gevo’s Chief Executive Officer; and Mike Willis, Gevo’s Chief Financial Officer. Earlier today, we issued a press release that outlines the topics that we plan to discuss. A copy of this press release is available on our website at www.gevo.com. I would like to remind our listeners that this conference call is open to the media, and we are providing a simultaneous webcast of this call to the public. A replay of today’s call will be available on Gevo’s website. On the call today, you will hear discussions of certain non-GAAP financial measures. Non-GAAP financial measures should not be considered in isolation from or as a substitute for financial information presented in accordance with GAAP. Reconciliation of these non-GAAP financial measures to the most directly comparable GAAP financial measures is contained in the press release distributed today and which is posted on our website. We will also make certain forward-looking statements about events and circumstances that have not yet occurred, including, but not limited to, projections about Gevo’s operating activities for the remainder of 2017 and beyond. These forward-looking statements are based on management’s current beliefs, expectations and assumptions and are subject to significant risks and uncertainties, including those disclosed in Gevo’s annual report on Form 10-K for the year December 31, 2016, and in subsequent reports and other filings made with the SEC by Gevo, including our quarterly reports on Form 10-Q. Investors are cautioned not to place undue reliance on any such forward-looking statements. Such forward-looking statements speak only as of today’s date, and Gevo disclaims any obligation to update information contained in these forward-looking statements, whether as a result of new information, future events or otherwise. On today’s call, Pat will begin with a discussion of Gevo’s business developments. Mike will then review Gevo’s financial results for the third quarter of 2017. Following the presentation, we will open the call up for questions. I’ll now turn the call over to Pat.
Pat Gruber: Thanks, Geoff, and thank you to everyone for joining us today. We continue to focus on our goals of developing the business, reducing the cost of production of isobutanol and reducing our burn to extend our runway. The Virgin Australia airline supply agreement and project are geared to proving out the supply systems in Australia as well as generate interest in Queensland for production of alcohol-to-jet fuel. We continue to work several other major jet fuel buyers and are making progress, although getting solid offtake agreements is taking longer than we expected. As a result, we have pushed out our goal of obtaining binding supply contracts that represent at least 50% of the capacity of our anticipated expanded Luverne facility into next year. The uncertainty of oil price, combined with the RIN policy debates, has not been helpful, causing many players to go slower, waiting to see what happens. However, the recent decision by the Trump administration to support the RFS, as the law requires, should help things move along and reduce uncertainty. Isooctane sales are going well, according to our plan. Haltermann Carless continues to be a very good partner for us. The Houston market for isobutanol-blended ethanol-free gasoline continues to grow as expected even in spite of the hurricanes, which did shut down tanker truck resupply for a couple of weeks. Our product is now at over 180 pumps in the Houston area, up from just a few at the beginning of the year. We will be putting a short video out that has key marine trade associations and OEMs explaining the benefits for isobutanol in gasoline. We should have it posted shortly. This quarter, the plant of Luverne ran well. We were able to produce both ethanol and isobutanol as we have planned. Ethanol margins were higher than we expected, so our burn at the plant was less than expected. We were able to produce additional quantities of isobutanol, and we scaled up a new yeast that lowered the production cost, hitting our internal targets. As we’ve discussed in the past, our current isobutanol production goals are not to maximize production but rather to align such production with isobutanol sales and technology improvement efforts. Also, given the state of a couple of our older fermenters, our ability to produce isobutanol in the future may be somewhat limited until such time we repair or replace those fermenters. So our attention is to focus primarily on the production of ethanol and produce limited volumes of isobutanol likely until the completion of the Luverne facility expansion. With that said, we have a good level of isobutanol in inventory, which should allow us to continue our market development efforts in the near term. In addition, operating Luverne for the sole production of ethanol should improve the cash profile of the plant, which we believe is in the best interest of all of our stakeholders. This past quarter, the DOE gave grants out to its national laboratories that should benefit our products and technology. One of these is particularly interesting. Gevo’s jet fuel has incrementally higher energy density than petro jet, a potentially value-added property. Los Alamos National Lab will conduct research and development with the goal of pushing the energy density higher to achieve various missile fuel specifications. There appears to be demand for missile fuel, not because it is renewable but because it could be cost-effective. The potential side benefit of this project is that we may be able to push the energy density of our commercial jet product even higher, making our ATJ even more valuable. We continue to work with Praj to finalize the licensing agreement program. We currently expect to have this completed as soon as the fourth quarter or maybe in the first quarter of 2018. This will allow us to begin direct licensing discussions with Praj’s stable of ethanol plant customers who process sugarcane juice and molasses feedstocks. Finally, we continue to focus on reducing our costs, where we can, with the intent of extending runway as long as possible, thereby giving us time needed to develop the markets. Concurrently, we are looking at other financial and strategic options in order to leverage our technology and assets. Now I’ll turn it over to Mike. Mike?
Mike Willis: Thank you, Pat. Gevo reported revenue in the third quarter of 2017 of $7.7 million as compared to $6.9 million in the same period in 2016. The increase in revenue during 2017 is a result of the production and sale of approximately $7.4 million of ethanol, isobutanol and distiller’s grains in the Luverne facility as compared to $6.4 million in the third quarter of 2016. This increase in revenue was mainly due to higher ethanol and distiller grain production and prices in the third quarter of 2017 versus the same period in 2016. During the third quarter of 2017, hydrocarbon revenues were $0.2 million, down $0.2 million as compared to the same period in 2016. Gevo also generated grant and other revenue of $88,000 during the third quarter of 2017. Cost of goods sold was $9.7 million in the third quarter of 2017, up $0.1 million versus the same period in 2016. Cost of goods sold included approximately $8.2 million associated with the production of ethanol, isobutanol and related products and approximately $1.5 million in depreciation expense. Gross loss was $2 million from the third quarter of 2017 versus $2.7 million from the third quarter of 2016. R&D expense for the third quarter of 2017 was $1.2 million, an increase of $0.1 million versus the comparable quarter in 2016 due primarily to an increase in employee-related expenses. SG&A expense for the third quarter of 2017 was $1.9 million, a decrease of $0.4 million versus the comparable quarter in 2016 due primarily to a decrease in legal expense. Within total operating expenses for the third quarter of 2017, we reported approximately $0.1 million for non-cash stock-based compensation. For the third quarter of 2017, reported loss from operations of $5.1 million, down $1 million from a loss from operations of $6.1 million in the third quarter of 2016. In the third quarter of 2017, cash EBITDA loss, a non-GAAP measure, which is calculated by adding back depreciation and non-cash stock-based compensation to GAAP loss from operations, was $3.4 million compared with $4.1 million in the same quarter of 2016. Interest expense for the third quarter of 2017 was $0.8 million, which was down $1.3 million as compared to the same quarter last year. The decrease was primarily due to the lower principal balances on our outstanding debt. During the third quarter of 2017, we incurred a non-cash loss of $0.4 million from a change in the fair value of the derivative warrant liability, and we incurred a non-cash gain of $2.2 million from a change in the fair value of the embedded derivative associated with the 2020 notes. For the third quarter of 2017, we reported a net loss of $4.2 million or a loss of $0.25 per share based on the weighted average shares outstanding of 16,508,158. This compares to a loss of $9.8 million in the third quarter of 2016 or a loss of $2.04 per share. In the third quarter of 2017, Gevo recognized net non-cash gains totaling $1.8 million due to changes in the fair value of certain of our financial instruments such as warrants, convertible debt and embedded derivatives. Subtracting these non-cash gains resulted in non-GAAP adjusted net loss of $5.9 million in the third quarter of 2017 or a non-GAAP adjusted net loss per share of $0.36. This compares to a non-GAAP adjusted net loss of $8.2 million in the third quarter of 2016 or a non-GAAP adjusted net loss per share of $1.70. At quarter end, we had cash on hand of approximately $14.8 million and a principal balance on our outstanding debt of approximately $17.1 million. As a further update on our capitalization. In September and October of 2017, our Board of Directors approved voluntary reductions of the exercised price of the Series M warrants for 4.245 million warrants from $2.35 to $0.60 and for 1.185 million warrants from $2.35 to $0.65. To date, all 5.43 million of these Series M warrants were exercised, resulting in proceeds to the company of a little more than $3.3 million, of which $2.1 million was received in September and $1.2 million was received in October. As a result, as at October 31, 2017, we had 21,810,552 shares outstanding. With that, I’d like to thank our stockholders for their continued support, and we’ll now open it up for questions. Operator?
Operator: Thank you. We’ll now begin the question-and-answer session. [Operator Instructions] And our first question comes from Sameer Joshi. Sameer, your line is now open.
Sameer Joshi: Thanks. Pat, Mike, thanks for taking my call.
Pat Gruber: Hey, Sameer.
Sameer Joshi: Hey. So by reducing or stopping the production of isobutanol, what level of cost savings do you expect to achieve on a quarterly basis?
Mike Willis: On a quarterly basis, our controllable costs, we could see somewhere in the $400,000 or plus.
Sameer Joshi: $400,000.
Mike Willis: Obviously, while we’re operating ethanol, we’re susceptible to commodity price swings, both positive and negative. But in terms of controllable costs, it’s somewhere in that range.
Sameer Joshi: Right, right. And as soon as you see or if and when you see that you have some isobutanol demand in excess of your inventory, how quickly can you bring this line back online?
Pat Gruber: Well, I think we can bring it on pretty quickly. And so the way we think about it is a little bit differently than what you just kind of articulated, is that we have it built-up in inventory. Remember, we – it costs money to run this – to make isobutanol. It costs more than making ethanol. That ethanol can be profitable, where isobutanol is not profitable at this – with only one production line. So we don’t want to run it. We’re trying to measure out the use of our renewable isobutanol for developing the marketplace in that sort of gasoline blend stock market and then also for the jet and isooctane. But it can come up pretty quickly.
Sameer Joshi: And so you’re selling isobutanol mostly currently in the Houston market, right?
Pat Gruber: I’m sorry.
Sameer Joshi: You’re selling isobutanol into the Houston market, right?
Pat Gruber: Between – that’s where the isobutanol-gasoline blend stocks are primarily being sold. In fact, there’s some cool maps out there that show ethanol-free gasoline. You see the number stations in that region. And they got to be – if it’s RFG areas like Houston, then it’s our stuff most likely because we don’t know of any other. And then it’s also being used for isooctane.
Sameer Joshi: Also for isooctane, okay.
Pat Gruber: Yes. And the isooctane is interesting. Remember, that’s a – primarily going to Europe, Haltermann Carless, it’s a value-added fuel product.
Sameer Joshi: Right, right. You – in the writeup, in the press release, there is some mention of you’re in talks with two potential large customers for planned – for offtake for jet fuel. Can you give us a little bit more insight into that? And what proportion of your 50% threshold will be achieved if you sign one or both of these?
Pat Gruber: Well, all that I can really say is that they’re substantial and they’ll be important. And people would – I would expect that people would recognize it as such. And it would be a very good thing. It’s just taking longer to work through all of it because what we’re asking people to do is sign an offtake agreement today for tomorrow for a product that they’ll first be delivered in 2020, 2021 time frame. And you have to overcome issues such as, "Gee, what do you think oil price is going to be?" "What do you think it’s going to be?" we say. Then we have a conversation about it. And then what do you think it’s going to be by 2025? And oh, what about the RINs? And what about the low-carbon credits or whatever it is? And what will they be out in the future? And the thing is you have to work through all that and work through all the models and scenarios with people because then you got to get to someone senior – and that’s where we’re at, like CFO-ish-type people, and work through it with them so they can go, "Okay, that’s a reasonable risk. I can deal with it." We’re – so what we’re doing is a little bit different than what most other companies in our space are doing. We’re not promising people that we’re going to go out there and do jet fuel at parity. That’s what a lot of folks are doing. And you what, I don’t believe them generally. They know there’s like maybe a special exception, but no, that’s not realistic. You got to pay for new capital. You got to deploy the assets and stuff like that. So we’re going out and telling people, "No, this is really what the costs look like. Here’s what it shapes up to be. This is why it is," and explaining it in gory detail without doing wishful thinking.
Sameer Joshi: Understood, understood. One last question, and it relates to the DOE funding of – and various national laboratories funding. Where and like what is the time horizon that you see for the first project for the – intensifying the ATJ and also then the ETO? What do you see the time lines on those two fronts?
Pat Gruber: Well, the – I guess the way to think about it is this. The – one of the interesting aspects of our jet fuel is that it is a higher energy density per gallon than petro jet. In fact, petro jet has been getting less energy dense over time as people distill differently. And so that already is interesting about our jet fuel, and we’ve seen some customers appreciate that aspect of it for long-distance flights. The – what the national lab at Sandia is doing is trying to – they’ll take one of our intermediates and work on it, make it more energy dense. That time frame, it’ll be a multiyear deal. But it’s interesting because we’re starting in a good place. If you’re successful in doing that work, it’s quite easy – it should be easy chemistry to deploy for us and blend right back in again. It will be sort of the same kind of products.
Sameer Joshi: And just to clarify, you did mention that this ATJ can also be then used in your regular jet fuel applications as well?
Pat Gruber: Yes. One of the trends that we’ve been told about in the industry is – that’s a trend line. And some of the other folks are studying the – your colleagues who are doing the airlines industry could write about this and say it more articulately than me, but it’s basically that with these new airplanes, well, and with the fuel supply looking to the future, the energy density of the jet fuel supply is decreasing or has been decreasing as a trend enough so it’s noticeable and significant. Our jet fuel tends to be on the higher side of the specification in terms of energy density. And that’s a good thing. And that’s where the industry will ultimately need it if they want to, say, fly from Asia to somewhere in the U.S. without stopping or maybe from the Middle East to the U.S. without stopping.
Sameer Joshi: Right, understood, got it. Thanks a lot for taking my questions.
Pat Gruber: Yes.
Mike Willis: Thanks, Sameer.
Operator: I’m showing no additional questions.
Pat Gruber: All right then. Thanks all for joining us. Have a good evening. Bye-bye.